Operator: Good morning. My name is Hilda and I will be your conference operator today. At this time, I would like to welcome everyone to the Ecopetrol Third Quarter 2019 Results Conference Call. [Operator Instructions] After the speakers' remarks, there will be a question-and-answer session. Thank you for your attention. Mr. Fernando Suarez will begin the conference call today. Mr. Suarez, you may begin your conference.
Fernando Suarez: Good morning everyone, and welcome to Ecopetrol's earning conference call and webcast in which we will discuss the main financial and operational resources of Ecopertrol for the third quarter of 2019. Before we begin, it is important to mention that the comments and disclosure by Ecopetrol's Senior Management can include projections of the company's future performance. These projections do not constitute any commitment as to future results, nor do they take into account risks or uncertainties that could materialize. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared on this conference call. The call will be led by Mr. Felipe Bayon, CEO of Ecopetrol. Other participants include: Alberto Consuegra, Executive Vice President; Jaime Caballero, CFO; Jorge Calvache, Exploration Vice President; Jorge Osorio, Vice President of Development and Production; Milena Lopez, CFO of Cenit; and Tomás Hernández, Vice President of Refining and Industrial Processes. We will begin the presentation with the main achievements of the third quarter of 2019, followed by the highlights by business segments and financial results under International Finance Reporting Standards. We will close with the Q&A session. I will now hand over the presentation to Ecopetrol's CEO, Felipe Bayon.
Felipe Bayon: Thank you, Fernando and welcome everyone joining us at this conference call for the third quarter 2019 results. I’m very pleased with the results we delivered yesterday to the market. We continue to deliver on the business plan we presented at the beginning of the year in line with our strategy of cash protection, capital discipline and growth in reserves and production. For the first nine months of the year, we reported a net profit of COP9.23 trillion and an EBITDA of COP23.9 trillion. This equates to an EBITDA margin of 46%. At the close of the quarter we maintain a very solid cash of COP16 trillion even after completing of the payment of dividends to shareholders amounting COP10.1 trillion throughout the year. These results primarily reflect our positive operating performance in all businesses, and the positioning of our heavy crudes in the markets to generate higher value. All these combined with an improved average exchange rate that helped us offset the lower Brent price, which was $73 per barrel for the first nine months of the last year and is $65 per barrel for the first nine months in 2019. Let’s move onto the next slide. We’ve been ceasing value accretive opportunities for inorganic growth leading to the strengthening of our position in production and resource. The first of these is our entry into the Midland in the Permian Basin and most prolific in the world to a joint venture with Occidental, to participate in unconventionals. The Joint Ventures we signed would allow the company to incorporate proven reserves in the order of 160 million barrels in 2019 and gradually increase production all the way to 2027 when we see Ecopetrol with a 95,000 barrel per day share of production in the JV. October 22nd, we received the approval from the U.S. authorities for this transaction. We expect to close the deal by the end of this year. Currently there are two rigs operating in the Midland. Two wells have already reached total depth and we expect to complete these wells in November. In 2020 we expect to see four rigs operating in the JV. As we mentioned, one of the key components of the deal is the transfer of knowledge. We're currently advancing in the selection and recruiting of the Ecopetrol personnel that will be working in the Permian. We expect that the first group will engage in the JV's operation during the first quarter of 2020. The second deal is our recent acquisition from Shell of a 30% stake in Gato do Mato discovery in the Santos Basin of the Brazilian Pre-salt; a basin with some of the largest prospects in the world. We estimate we would be adding some 19 million barrels of contingent resources in 2020 which would be gradually incorporated into Ecopetrol's reserves balance. Ecopetrol also estimates that its share of production from this project would be some 20,000 barrels per day of crude by 2025. Under this agreement, Ecopetrol will deepen strategic position in Brazil Santos Basin. We estimate these two transactions will generate an incremental EBITDA of some 1.4 billion per year between the years 2022 and 2027 yielding a positive impact on variety. Let's move on to the next slide to discuss unconventionals in Colombia. The development of unconventionals is one of the group strategies for growth in production and reserves. We have respectfully, prudently, and responsibly received a provision from the State Council allowing us to advance to a stage of research through the pilot projects as recommended by the commission of experts. We believe this is a real opportunity for Colombia to advance on how the unconventional exploitation can be made preserving the environment, the water, and the surroundings and then be able to make the best decision about the development of unconventionals always taking into account the environment, social, and economic aspects. As we previously mentioned, Ecopetrol has allocated $500 million for the period 2019, 2021, for developing these pilots. We estimate to initiate the first pilot in the second half of 2020 subject to the regulation that it's going to be issued by government by year-end. In the meantime. We'll continue working in the construction of the social environmental baselines and other recommendations given by the commission of experts. I will now hand the floor over to Alberto Consuegra who will comment on our principal operational achievements.
Alberto Consuegra: Thank You, Felipe. Third quarter operating results show the financial and operational strength of the company which faced a challenging environment during this period given the public order situation and market conditions. Our production is in line with the plan reaching a business group average cumulative production of 723,000 equivalent barrels of oil per day. For the quarter, the production was 720,000 equivalent barrels of oil per day having been affected by security and operational events. Similarly, the Ecopetrol fields which utilize secondary and tertiary recovery technologies contributed around 213,000 equivalent barrels of oil per day approximately 30% of the group's daily production. On the exploratory front, the 2019 campaign has shown very positive results. Ecopetrol and its partners have completed the drilling of 13 exploratory wells so far this year, five of which were declared successful including Flamencos-1 which is a 100% Ecopetrol. We hope to finish our exploratory campaign with a total of 17 wells; five more than originally planned for 2019. In the transport segment. We can highlight a 4.1% increase in transported volumes of crude oil compared to the same period in 2018. This is a result of the increase in national production and commercial strategies aimed at greater use of pipeline transport. Additionally, during the month of September or since I broke the record of most oil pumped with 751,000 barrels of oil per day and a monthly average of 704,000 barrels of oil per day for the quarter. On the other hand, transport by product pipelines remain stable during the period. We highlight the beginning of the operation of the Chinchina-Pereira variant allowing us to ensure their reliability and integrity of our operation. In the refining segment, the refineries had a stable operation and scheduled maintenance was progressed. The Cartagena refinery in 3rd Q'19 reached the throughput of 160.5 1000 barrels per day been the highest quarterly result since its operation began. Barrancabermeja refinery maintained a throughput level of 228,000 barrels per day similar to that presented in 2Q, '19 and benefited from stability and operational performance. However, the gross refining margin showed a decrease having been affected mainly by the international market environment. At the end of September. The cumulative efficiencies of the year were around COP1.74 billion mainly leveraged by drilling, completion and construction of facilities which are focused on ensuring the profitability of investments in development commercial operations and increasing the production of middle distillates and gasoline in refineries; all aimed at increasing revenues and/or margins of both operations. These three large levers have contributed 85.1% of the total efficiencies to the period. COP1.48 trillion. The lifting cost showed a slight decrease thanks to the cost control and greater efficiency of the transformation plan. The results of the quarter showed the operational strength of each of the segments which put us in line with the fulfillment of goals set up for the end of the year. Now I will turn the presentation over to Hugo Pelliza who will comment about exploration results for the quarter.
Hugo Pelliza: Thank you, Alberto. As part of the expression campaign, three exploratory wells were drilled and completed during the third quarter with a total of 13 wells so far this year. I want to highlight the two discoveries achieved during the third quarter that contribute to the near-field exploration strategy. Flamencos-1 located in the Middle Magdalena Valley some 30º API like crude in the Lapa's formation. During the initial production tests, the well delivered 600 barrels of oil per day. It is important to highlight the competitive and operational advantages of this well which is in an area close to receiving stations and the Barrancabermeja refinery. Additionally, the well Cosecha CW-01 side track operated by Oxy 0that is located near the pipeline infrastructure of the Cano Limon complex in Arauca confirmed the presence of hydrocarbons. A long-term production test in the Cretaceous is being carried out with an average rate of 2727 barrels of oil per day of light crude oil as 36.7º API. Currently, there are three wells in evaluation stage. Boranda-3 located in the Middle Magdalena Valley operated by Parex is in initial testing; Ecopetrol has a 50% stake. Bullerengue Southwest-1 located in the Sinu-San Jacinto basin from our subsidiary Hocol in partnership with Lewis Energy. And finally, Habanero-1 located in the Middle Magdalena Valley is also operated by Parex. As for the seismic activity, the acquisition of 2,000 square kilometers of 3D marine seismic in the COL-5 block will start in November. This block is held 100% by Ecopetrol and is adjacent to the Kronos, Gorgon and Purple Angel discoveries. So the new seismic will be used to further progress the maturation of these discoveries, and to identify new exploration opportunities. Now Jorge Osorio will continue with the group's production results.
Jorge Osorio: Thanks, Jorge. During 2019, we have been in line with our plan to produce between 720,000 and 730,000 barrels equivalent per day. The third quarter production was 720,000 barrels for a total community for the year of 723,000 barrels equivalent per day. The results of the period were affected by external events with an impact of 8,400 barrels per day. Security events affected Cano Limon Covenas pipeline and the Tibu fields and power supplies shortcuts caused by the rainy season affected the operations in Castilla, Chichimene, Akacias and Rubiales fields. During the month of September, we have started incremental production of the API project and the commissioning and stabilization phase of the LPG plant in Cupiagua, which will contribute to the full quarter production increase. The subsidiaries achieve a production of 59,000 barrels per day, maintaining this year around 8% of the total group production. And the fields with recovery programs contributed 30% of the total production. This slide also illustrates the relevant fields that increased production compared with the third quarter of the previous year. Now I turn to Milena Lopez who will tell you about the results of the transport segment.
Milena Lopez: Thank you, Jorge. During the third quarter of 2019, the midstream segment continued achieving positive financial results with an EBITDA reaching COP2.7 trillion. This represents increase when compared to last year's third quarter EBITDA. And an EBITDA margin of approximately 78%. During the third quarter of 2019, the segment transported higher volumes achieving 1,161,000 barrels per day, which represents a 3% growth compared to last year's third quarter volume. The volume of crude oil transported increased 4%, mainly due to an increase in the country's overall oil production for the transportation of additional barrels that were previously transported outside of our infrastructure and to the injection of crude from the Acordeonero oilfield at Ayacucho. During the third quarter of 2019, the volume of refined products transported remained stable when compared to the same period last year, mainly driven by higher demand in border areas which compensated for lower volumes from the Barrancabermeja refinery. We continue to focus our efforts on repairing systems that have been affected by third parties. During the quarter, there were 27 attacks on our pipeline infrastructure, as a result, there were 17 reversion cycles in the Bicentenario pipeline with a total of approximately 4.4 million barrels which guaranteed oil production. Finally, I would like to highlight three activities executed to ensure safe operation and guarantee refine products supply to the western region of the country. First, the beginning of operations at the Chinchina-Pereira section of the Salgar-Cartago-Yumbo pipeline to eliminate geotechnical risk. Second, the installation of flexible pipelines in the Copacabana area of the Sebastopol-Yumbo pipeline to mitigate integrity risk related to potential landslides. Lastly the redesign of supply chain to permit the continuous use of the port of Buenaventura to provide fuel to this area of the country. With this, I will hand over the call to Tomas Hernandez, who will comment on results for the downstream segment.
Tomás Hernández: Thanks Milena. During the third quarter of 2019, thanks to process optimization initiatives focused on crude slate improvements and plant reliability and refining, the integrated crew throughput of our two refiners reached a historical maximum of 389,000 barrels per day. The Cartagena refinery also achieved a quarterly historical crew throughput record with an average of 161,000 barrels per day exceeding by 3,000 barrels per day the result of the third quarter of the year before, while increasing the percentage of domestic crudes in the feed slate to 88% up from 80% in the third quarter of 2018. This increase in the proportion of domestic crudes had a positive impact on the cost of the refineries feed slate mitigating the strengthening of heavy and medium crude prices in the international markets. The Barrancabermeja refinery maintained stable and reliable operations as demonstrated by the throughput increase of 2% in the third quarter of 2019 versus the previous quarter, reaching 228,000 barrels per day, benefiting from higher availability of domestic light and intermediate crude oil. In addition, during 2019 compared to 2018 our refineries have been impacted by challenging market conditions in international product price differentials versus Brent, which reached historical minimums for naphtha and gasoline, a trend that recently has improved for gasoline. In addition, the refineries experienced higher crude price differentials versus Brent in their crude slates. These conditions have resulted in weaker refinery margins impacting our initial outlook for margin results. Along with this difficult market environment and despite Barrancabermeja refinery stable operations and higher yield of valuable products during the third quarter of 2019, the gross margin decreased by 17% compared to the same period last year, reaching $11.5 per barrel versus $13.9 per barrel in the third quarter of 2018, mainly affected by lower product prices and higher crude price differentials for the refinery feed slate. The gross margin of the Cartagena refinery in the third quarter of 2019 decreased by 31% compared to 2018, reaching $8.4 per barrel, mainly due to international market behavior and an operational event in the Alkylation unit which affected high octane gasoline production during the quarter, and has since been resolved In our petrochemicals area, during the third quarter of 2019 Esenttia demonstrated excellent safety performance and stable operations capturing better margins with a more stable behavior of its raw material price. On the biofuels front in September, Bioenergy started the sugarcane harvest season and ethanol production. Now I turn the presentation over to Jaime Caballero who will comment on the financial results for the period.
Jaime Caballero: Thank you, Tomas. During the first nine months of the year, Ecopetrol continued to deliver sustained financial results, despite the $8 per barrel decrease in the average price of Brent crude between January and September 2019 and the same period of 2018. These results were due to a higher volume of crude oil both produced and sold. A $2 reduction in the crude oil spread, devaluation of the dollar to Colombian peso exchange rate, lower financial expenses due to the effect of debt prepayments and a lower effective tax rate. Net income closed at COP9.2 trillion and EBITDA at COP23.9 trillion. The EBITDA margin was 46%. Year-to-date net profit breakeven stands at $31.2 per barrel, improving $5.5 as compared to the same period of 2018. The gross debt to EBITDA indicator reached 1.3 times, while the net debt EBITDA indicator stood at one time. Likewise ROACE remained above 13% in line with the business plan target of our ROACE above 11%. Let us move on to the next slide to see the cash flow of the Group. At the end of September, Ecopetrol reported a cash position of COP16 trillion. Cash flow generated by the operation before the variation in working capital amounted to COP20.3 trillion. This value includes the payments received from the Fuel Price Stabilization Fund in 2019, amounting COP3.8 trillion. The investment flow in capital activities showed an outflow of COP7.4 trillion, which is explained by a better pace of investment execution. The financing outflow of COP12.4 trillion includes the payment of dividends to shareholders for COP9.3 trillion and to non-controlling shareholders of the subsidiaries of the midstream segment for COP0.8 trillion. The company maintained a positive free cash flow of COP12.7 trillion, which exceeds the amount of dividend payments executed this year. The company's final cash of COP16 trillion includes cash and equivalent resources of COP9 trillion and a short and long-term investment portfolio of COP6.9 trillion. Cumulative cash flow to date exceeds the available cash projection incorporated in the 2019 to 2021 business plan. Let us move on to the next slide to see the status of the group's investment plan. During the first nine months of the year, investment execution increased by 29% compared to the same period of the previous year, reaching $2.3 billion, mainly concentrated on the growth of the upstream segment. We highlight the investment of $1.1 billion for drilling and completion of wells, and $0.3 billion to expand the capacity of facilities. We expect to close the year with an execution of organic investments between $3.5 billion and $3.9 billion, which would take us together with announced inorganic investments in the Permian and Brazil of between $0.9 billion and $1.1 billion to a total that would range between $4.4 billion and $5 billion for 2019. I now give the floor to the President for his closing remarks.
Felipe Bayon: Thank you, Jaime. One of Ecopetrol's strategic priorities is to grow sustainably, and in harmony with the environment. We believe long term growth requires a commitment to energy transition and operations that demonstrate good environmental practices and promotes social development. As part of our efforts to contribute to preserving the environment and reducing the impacts of our operations, we have set a decarbonization plan under which we commit to reduce greenhouse gas emissions by 20% by the year 2030, and to reduce operational vulnerability to climate change. These goals are in line with the country's commitment set in the Paris Accord of 2015. Consistent with this, we have advanced along several initiatives. We are the first oil and gas company in Colombia that achieved the verification of the reduction of more than 1 million tons of CO2 emissions coming from our operations. Last October '18, we inaugurated the largest solar farm for self-generation in Colombia, located in the Department of Meta. It has an installed capacity of 21 peak megawatts and will supply energy for the next 15-years to the Castilla field, Ecopetrol's second largest, its operation will avoid among others, the emission of over 154,000 tons of CO2 into the atmosphere. And the self-generated energy will be 30% less expensive than the energy of the national grid. The inclusion of solar energy is added to the power generation we already have from biomass from sugarcane and the production of biofuels based from sugar and palm tree. Last October 23rd, we ratified our commitment to energy transition in Colombia toward the allocation of 30 megawatts of energy between solar and wind in the last renewable energy auction held by the Colombian Ministry of Mines and Energy. It is important to highlight that we have the potential to expand our energy generation portfolio based on renewable sources to over 300 megawatts in the coming years. The circular economy is another focus of our social environmental commitment. We have concentrated our efforts on activities such as recycling water in our operations. As of September 2019, we have recycled some 66 million cubic meters of water, some 4% higher than that for the same period of last year. Let's move on to the next slide. To conclude, I would like to mention some aspects of relevance, as we close the year. We expect to close the JV with Oxy before year-end, and advanced toward the completion of Gato do Mato's purchase, which is subject to approval of the Brazilian authorities. In Colombia, we will continue to advance in preparing for the pilot projects for unconventionals. Ecopetrol is fully committed to executing the pilots responsibly, respectfully of the environment and the communities with total transparency and within the framework of the government's decisions. Operationally, the execution of the first nine months of the year brings us closer to the fulfillment of the goals that we announced for 2019. Fourth quarter production should be in the range between 734,000 and 740,000 barrels of oil equivalent per day, confirming the estimate that we have given in the range of 720,000 to 730,000 barrels per day. For the fourth quarter, we expect to see an improvement in refining margins, while sustaining refining throughput in the range of 350,000 to 375,000 barrels per day. Finally, we estimate that our level of investment execution, our CapEx will be between 4.4 billion and 5 billion. This includes our inorganic investments. Thank you very much for being part of the call today. I will open now for Q&A.
Operator: [Operator Instructions] We have a question from Frank McGann from Bank of America.
Frank McGann: Okay. Thank you very much and good day. If I could two questions perhaps, one is just in midstream which continue to have strong results, the revenue increase of 35%. The factors that seem to drive it where volumes were up 3.1% you highlighted and the peso I believe would have added about 13%. I was just wondering if there are other factors that contributed to the year-over-year increase in revenues. And the secondly, you just highlighted the expectation for pretty sizeable pickup in output for the fourth quarter as you look into the beginning of next year towards '20. I was wondering if you have thought there would be continued momentum, any thoughts on what would drive production growth as you go out over the next 12 months.
Felipe Bayon: Frank hi, this is Felipe and thanks for the questions, thanks for being in the call. I'll start with the upstream question and then I'll ask Milena to help us with the midstream one. So, in terms of production and how we see this sort of exiting the year the current year and then moving on to 2020 and beyond. So, the first thing is that the range that we've signaled 720,000 to 730,000 remains. We've given at the end of the presentation some guidance around the exit rate for the year. That should be in the range or it above 734,000 all the way to 740,000. But I wanted to provide a bit more color. There were a few things in runoffs related to security around Cano Limon around Tibu; a field that we closed or we shut down operations and production back in July. And we've restored both the Cano Limon. We've restored Tibu and we're in the process of actually ramping up production there. So, those runoffs have been dealt with. The other thing that is probably not an explicit or hasn’t been explicit, on Monday this past Monday, we inaugurated the propane/butane plant in Cupiagua. That should give us some 8,000 barrels of production. It's going to be between 7,000 and 8,000 barrels. We've actually tested the plant and all the way up to 92,00 barrels. So, that's good news as well. So, we've dealt with the runoffs, we have some additional volumes coming through from things like Cupiagua which are very good. So, that helps us go to the range that we've signaled the 734 to 740. As we move forward, we had signaled in our business plan the 2019, 2021 business plan that for next year will be in the 740 to 760 range. That remains unchanged. That hasn’t changed which is good news. We'll continue our internal work to pin down the forecast and the budget for next year. The activity set and budgets for next year and we'll be communicating those in time. And there will be also working in an update to the 2020, 2022 business plan. So, we'll be able to provide a bit more color and guidance around those. So, I think and I hope that's helpful in terms of providing a bit more color around production. Milena?
Milena Lopez: Okay. Hi, Frank. When you look at third quarter versus third quarter last year figures. And on top of the increase in volumes which is approximately 3.1% and the FX which is up approximately 15%, you have two additional impact. First, effect in July 1st in this year. We have the new tariff for the oil pipeline. And when you look at the impact that is approximately slightly over a 3% impact when you compare quarter-on-quarter. In addition to that, this quarter saw much more activity from reverse in cycle that the Bicentenario pipeline. So, when you compare reversion that took place during the third quarter this year, the same period last year, we have 17 reversion cycles which totaled approximately 4.4 million barrels of oil which operate on a reversion basis and that compares to five cycles where we moved 1 million barrels with a reversion. So, when we operate on a contingent basis at Bicentenario pipeline, we're basically rerouting oil and that generates additional income for the midstream segment. And just to give you a sense of the order of magnitude and the numbers when you look at them a year-to-date level, and you compare year-to-date reversion cycles versus year-to-date reversion cycles for the same period last year, the difference is much smaller. You're looking at 8.9 million barrels operated on a reversion basis this year compared to a 23 last year. So, that generates part of the difference, you see when you look at specifically third quarter phase.
Frank McGann: Okay, very good. Thank you, very much.
Operator: The next question comes from Julia Park from UBS.
Julia Park: Hi, thank you for taking my questions. I have three questions if I may. First, is on the downstream. Currently we have been concerned with the downstream segment as the government announced that is aiming to balance the field-stabilization from liability which we believe could lead to lower refining margins and heard the company's results. Could you provide an update regarding this matter? Is there any color about the time length for the government to announce the measure and how the company is dealing with the price volatility? The second question is on the recently announced the acquisition in Brazil which we saw is very positive to address the production and reserve's life. However, the company did not disclose the amount paid which we recognize that the company might want to limit the disclosure due to strategic to see in. But the like of transparency may raise some concerns on the corporate over covering either. And it also take it makes hard to investors finalizes the deal was accretive from a financial perspective. Will the company provide more color under what conditions the deal was made and its conclusion? And my last question is regarding the upcoming bidding rounds in Brazil. Could you provide more details on Ecopetrol's interest on the two bidding rounds that will happen next week? Do you consider those assets are good fit for the company's growth portfolio? Thank you.
Felipe Bayon: Julia, thanks. And I'll ask Pedro Manrique to start with the first one and then I'll take the ones on Brazil. Pedro?
Pedro Manrique: Julia, thank you for your question. First of all, I'll like to say that the government doesn't have any timeline to make an announcement regarding the field stabilization fund. Actually they have announced that the fund will remain in place. And also they have expressed that the producers income will remain also unchanged. As a matter of fact, the government is seeking for other attention and last month we received a rather large payment of COP2 billion and they have the government is working to get up to speed before the year-end. So, there is no timeline and the government is not making any further announcements regarding the stabilization front.
Felipe Bayon: I'd like to provide a bit more color around Gato do Mato. I think with the information that we're going to share or I'm going to share, you will be able to have a better understanding and visibility on why this is in a very accretive transaction that was made by Ecopetrol. So, the first thing is that as you've pointed out in your question, the consideration or what we paid for the transaction is confidential and that's the terms that we've agreed with Shell. But we can confirm that the transaction in itself is in line with the multiples that have been seen in similar transactions and valuations that would seem from analyst in the sector. The transaction itself represents a milestone for us in Brazil and I want to spend a bit more time here. So, you've seen that over the last 12 to 15 months, we've depend our presence in the Pre-salt, we've gone into Parex initially and then Saturno and those are two expiration opportunities that we wanted to reel quickly in the next 12, 18, months. That we'll have if we are successful the possibility to bring discoveries and further on, production and value in the mid-to-long term. The Gato do Mato provides the opportunity for us to enter first with the world-class operator Shell with world-class partners both Shell and Total with a percentage equity that's good to 30% that actually provides some neutrality where there is already been a three rows drilled and are going to a bit more detail. And it's in line with the strategy of having a stronger presence in Brazil and especially in the Pre-salt in one of the most prolific basins in the world. And I'm going to share some numbers that were not in the presentation and have not been talked about before. That our numbers that we've prepared internally as Ecopetrol and I think will provide some additional guidance. So, first thin and in line with the 90 million barrels of contingent resources that we've signaled. We envisage that over the next month's we'll be working on preparing the development plan, we will be working with the consortium on drilling an additional appraisal well in the next six to eight months what will provide some additional very key information and will help us inform the construction of the development plan. In particular, all the process to acquire the FPSO I mean to upsize the FPSO and then acquire the FPSO\, as such. We envisage that we will be in terms of well activity, aiming at a total of some eight to nine wells is something that's been discussed, includes producers, injectors, both for gas and water. And remember that we've already drilled three of those wells. The estimated CapEx over the next few years, three to four years is around $3 million that's gross and we have a share of 30%. Our payment will have a component of upfront payment and there will be a carry as well. We envisage that again some of these wells that I've mentioned will be drilled over the next few years. We've signaled in the presentation that we want or we see some 20,000 barrels of production in 2025. We see that there will be production before that and that will help us to provide or bring into Ecopetrol some $200 million of EBITDA in that period. Each well, we estimate and again remember these are costs that have been prepared by our teams, we see will be in the $55 million to $60 million range. In terms of F&D, we see a range of $19 to $21 per barrel, lifting cost we see $9 to $11 per barrel. We need to remind ourself, this is light crude greater than 37 API. Which is very good in terms of balancing our portfolio. Remember that we have a majority of heavier crudes. These are deep water wells as you know its water depths of 1700 meters to 2100 meters. And the top of the objectives at reservoirs are at 5200 meters. From summary, we believe it's something that will produce benefit for Ecopetrol in terms of having production in the 2024, 2025 periods, some 20,000 barrels starting with the EBITDA contributions as of 2025, 2025, 90 million barrels of contingent resources that we as soon as we go through all the approval process, we will be able to move into the approved re-service part to lot books which is great news in terms of longer-term for Ecopetrol. And again, we're very happy to have the possibility to partner with world-class partners and the world-class operator that's deeply committed to Brazil. So, I hope that provides a bit more color which is one of the things you were asking us Julia. So, hopefully that's helpful. In terms of new businesses and the other part of your question, then if we can provide a bit more detail on the coming round. So, you've seen that we've been very determined in being able to deliver against our strategy in Brazil again with Pau-Brazil, Saturno, now Gato do Mato, we're looking at the upcoming rounds in detail with a lot of discipline and rigor. It's something that we've been discussing for some time now. Our teams are technical teams, commercial teams. Are working on this and will continue to the review those over the next few days and will then we'll be able to take some decisions. But again, as we all know, as it's in Brazil are very good. That's why we've steered our strategy towards the Pre-salt and we've been able to deliver around those areas. So, hopefully you'll be hearing around the rounds in due course. Thanks, Julia.
Julia Park: Thank you, that's very clear. Thank you, very much.
Operator: The next question comes from Christian Audi from Santander.
Christian Audi: Thank you, Jose and Felipe. I mean, congratulations with the results. I had three questions. The first one if you could provide us with a general update on the unconventional in Columbia front. You mentioned the potential pilot. But could you, since the last conference call with the second quarter results, could you just provide us with what has changed since then. And the pilot, the expectation of when that could happen and its success or what would should it plan for pilots thereafter. The second question on the review with the Occidental. Would it be possible for your numbers to already be impacted as early as the fourth quarter or no any color there would be helpful. And then lastly on the cost front. I was wondering if you could share with us in general terms where is the biggest that side or costs going down. You've already improved on many fronts but are there be at lifting costs or refining costs or other costs that you see still being a source of a potential cuts. Thank you.
Felipe Bayón: Nice question. So, I'll give you a bit more color around the unconventionals in Columbia. So, if you think about our 2Q and call and then the call that we're having today, there's one fundamental thing that transpired in that period. And there is a clarification from the Consejo de Estado which is the highest administrative court that has been in charge of reviewing the possibility of doing unconventionals in Columbia. And the clarification that they made it allowed the possibility of the pilots to actually go forward. So, that's the one thing I want to highlight initially. It's very good news. So, following on from that, there is a lot of work that both the Ministry of Mines and Energy and the Ministry of the Environment are conducting around a specific technical and environmental protocols on how to develop the pilots. So, this is things from the use of technology, the wells that need to be drilled, the transparency of information with the communities, things like environmental monitoring and communicating the results from such monitoring to the development stakeholders. So, with that clarification with the work or the regulatory work that the ministry is doing, both ministries and the government are doing. We have now line-of-sight that at the back-end of next year we should be able to start operations in the pilots. So, that's message number two. Message number three, is that in the meantime and simultaneously in parallel, in parallel we're working on the creation of all the baselines around social environmental. So, things like induce size in the city, things like noise, things like emissions, things like effluents, things like the social conditions of the areas in which we'll be operating are the ones that we're working whilst we continue to design the wells, the horizontal sections, the frac, the number of fracs and the detail frac design. Cost estimated cost and schedule and obviously all the logistics around the as doing as being able to do the pilots for the unconventionals. So, I think it's very good news. That's why we actually included some material in the presentation. So, we will be able to conduct the pilots and we envisage to be doing that at the back-end of next year. So, if the pilots are successful which is the other part of your question, is when can we have the development. So, as part of the pilots we'll need to well drill the wells, complete the wells, frac the wells, produce the wells and we will be able to have dynamic information both on initial rates, rates of decline, estimated EURs on the wells that will help us in addition with the cost and everything else that define the feasibility of doing the unconventional development in country. And it's something that we're working with the government as well in terms of how do we actually transition from the pilot phase to the development phase. So, I think that's something that's also being worked and it's in progress. In terms of the JV with Oxy. So, a few things. One, we've actually seen an accelerated pace on the activities that we're conducting in the Permian basin with Oxy. So, that's the first thing I want to see. I want to highlight, sorry, and that's why we've seen an increase in some of the inorganic numbers as we are highlight earlier in terms of our spend at the back end of the year. We've already drilled a couple of wells, we'll be fracking those wells in November, we'll have more wells coming at the back-end of this year and we'll some production although it be small, some production from unconventionals. And we see that going forward, we should be able to have some three to four rigs running as we're highlighting earlier in the basin. So, that's I think very good news. In terms of affecting our 4Q numbers, there is different things. One, we will always obviously be doing the disbursements of the capex on our shareholder carry that we need to do. We'll be seeing some production. And as we've said before, we're targeting a 160 million barrels of reserves that will go into our books this year. So, I think that's very good news and that will help us significantly with R2p which is one of the things that we've been working over the last few years. So, I think the answer is yes it will be a positive impact. Remember that this JV with Oxy is accretive in terms of providing EBITDA all the way from this year onwards and then ramping up to 2022 forward with 1.1 billion 1.2 billion of EBITDA in addition to the EBITDA that we organically are creating at the company. On the financials, so I think there is a few things and then I'll ask some of the guys in the team to talk about Jorge on lifting and Tomas on refining. So, I think biggest upsides there's a couple of things. Transformation. The transformation program we've already in the last four years or so been able to save COP11.5 trillion this year alone COP1.74 trillion. So, the transformation is part of our DNA, its part of how we do things and it won't go away. So, we see that and there's massive things like the energy, on maintenance and dilution factories. We transport very heavy crudes. So, the use of technology all the way from dilution and using dilutants but also using down hall techniques and nanotechnology. And the other thing that we're working on you saw the digital transformation that I think it's helping us view a lot of our things differently. So, we're working for example on refineries to have some software that can help us see real time benefits on cost and on margins and revenue from doing things in the different plants at the refinery. So, it's instead of just seeing pressure on throughput and temperatures, we'll be able to look at the dollar signs as well real-time. So, I'll ask Tomas if you can talk about refining a bit and then Jorge if you can talk about lifting cost. Thanks.
Tomas Hernandez: Great, OpEx in refining, we continue to have focus on energy efficiency, heat recovery and focused on furnace efficiency. Those are the main drivers in refining for reduced cost. As you can see, we've been reducing the cost, the OpEx and refining quarter-on-quarter, year-on-year strong focus on margin improvements as well but maximizing utilization in the plants has been a key focus and that is a lot of reliability. Lot of focus and reliability in our conversion units. And in that way driving cost down in our per barrel basis.
Jorge Osorio: Christian. In terms of lifting cost over the last nine months. We are optimizing basically on energy consumption moving into more preventive reactive maintenance and we started to use technology in different fronts to optimize cost. Looking into our 2020, so we see more activity on maintenance basically, so lifting cost could go a little bit up before going down for the 2021 and 2022. And also we're moving into a production which are more on secondary and tertiary recovery programs. We know that and that is why our optimization program which is dynamic is looking into sources of optimization. Felipe already mentioned dilution. So, we have some pilots going on that front and we will be implementing in the next couple of years actually some programs that will drive cost down on dilution. We also are looking in to other options in terms of technology like integrated fields which basically are looking into getting all the information from our fields and in a central team looking for additional optimizations. So, our program is an ongoing one and we already identified some options for next year and we will continue working in that going into 2020.
Christian Audi: Great. And on this last point of lifting cost, can you give us an idea of the range of what lifting cost could be in 2020, 2021, given what your comment that is why good marginally higher because of maintenance?
Felipe Bayon: I think that we will be around $10 per barrel. And again the maintenance that mentioned is more on the preventive side. So, the cycles between maintenance will be more time which will ride cost down.
Christian Audi: Okay.
Felipe Bayon: Christian, to provide some overall context where this cost conversation. You might recall that when we launched the business plan to 2021, we spoke about an overall target for the transformation program of and around $2.6 billion. That program is on track. And we believe that there is a potential to capture all those efficiencies over the next few years. Obviously that number of 2.6 has a component of CapEx efficiencies but a most of the targets we actually revolved around cost. I think that's a key message. The other key message is that the program spans throughout the group and all of the segments have targets on this regard. Clearly the production business is the one with the highest potential. We can see whilst the plan has a lifting cost assumption of a being between $9 and $10 per barrel. That's kind of the planning assumption. We as you can see from the results that we just published, we're actually well below that right now. And our efforts are aimed a sustaining that and including that over time. I think the other important component here is that our focus is evolving now from a strictly a lifting cost conversation to actually a unit cost conversation that goes across the group. So, in that sense it covers a refining cash costs, it covers transportation costs, it covers corporate costs importantly. And dilution as it was mentioned before. So, all-in-all what I'd say is that we've been successful at an arresting the increase, the trend that we had of increasing lifting cost, we've been successful at that and we see potential going forward to improve on those trends.
Christian Audi: Very clear. I mean, and of the 2.6 billion target, are you able to quantify for as how much you've accomplished already or how much you've been able to get out of that 2.6 billion target?
Felipe Bayon: Yes. So, for 2019, the number that may -- is essentially -- to $600 million range which is about COP1.8 trillion. Which it has then captured and we are confident that it's going to be backed in by the end of the year.
Christian Audi: Great, very good. Thank you, everybody for your very complete answers.
Operator: Thank you. The next question comes from Guilherme Levy from Morgan Stanley.
Guilherme Levy: Hi good morning. Thank you for taking the question. I have just a quick follow-up question in the Gato do Mato position. I know that you cannot disclose much regarding the amounts that we will pay. But I saw that the inorganic CapEx for the year increased from $0.9 million to $0.911 million since the 2Q'19 results. And I just wanted to understand that is this increase is just related to the Gato do Mato position or if there might be other acquisition or just best spend that you expect to do that is behind this increase. Thank you.
Jaime Caballero: Hi, yes. This is Jaime here. And yes, effectively we did an update a bit our guidance considering that it was 3Q. But essentially what we're seeing is as Felipe spoke before, we are seeing an accelerated pace of execution in the Permian. And one that we were not expecting in 2Q. And that actually translates into higher CapEx. So, what we wanted to do at this stage is to give ourselves a bit of space to within the CapEx in organic CapEx guidance to capture the higher side of that activity level that could occur in the Permian. We are not including in that figure, any amount related to Gato do Mato and that's because we do not expect closing of the transaction to occur this year.
Milena Lopez: Mr. Levy, does that answer your question?
Guilherme Levy: Okay, great, thank you.
Operator: Thank you. The next question comes from Andres Duarte from Corficolombiana.
Andres Duarte: Hello. The question I had was answered for. So, thank you very much.
Operator: Thank you. The next question comes from Muhammed Ghulam from Raymond James.
Muhammed Ghulam: Hey guys, thank you for taking the question. So, in July the environmental regulators suspended one of your shale pilots. Can you give me an update on the status and when you plan to resume activity over there?
Felipe Bayon: Thanks, Muhammed, this is Felipe. So, I gave a bit of color earlier on but I will highlight I think the key messages there. So, the event that we saw in July was with a development of unconventionals that we've submitted a request for or an application for a permit, for a license. What else changed and transpired over the last few weeks is that there's been a clarification by the Consejo de Estado which is the highest administrative court in country that will continue to study and assist the development of unconventionals in country and clarified that the pilots, the pilot projects proyectos piloto [indiscernible]. Which is the integrated research pilot projects are able to continue. So, that's the first thing. The confirmation on the pilots being doable. And from that point-of-view now the government and there is a bit of a schedule that we showed in the material on page six. The following the state council clarification, the Ministry of Mines and Energy and the ministry of the Environment are working on the detailed regulatory framework. So, these are things like from a technical point-of-view and operations point-of-view how to conduct the activity around the pilots, the wells, the frack, everything else from a social point-of-view being able to have a framework in terms of how to communicate and be transparent with information, timing information around our activities and potential impacts. Things like the environment, microseismicity, water qualities, the effluents, emissions, noise, you name it, and there is all sorts of different things that we need to work. So, in Palo with that we're doing the work to design the pilots from a technical point-of-view, the designing the wells, the vertical and horizontal sections, completion in fracs, fall backs, that will allow us to have the data around the pilots. So, we have not started activity, we have not when this happened in July, there is a new frame in which we're working with this which is these of the clarification of the state council. And we envisage that we will be able to start operations at the back-end of 2020. So, I hope that provides a bit more clarity around the timing of the pilots for unconventionals and obviously there are follow-on questions, we can have the team also contact you and provide a bit more detail. Hope that's helpful, Muhammed.
Muhammed Ghulam: No, that’s definitely helpful. Turning further north. So, can you talk about how you plan to use the Permian JV to develop your workforce? For example, how many Ecopetrol workers are going to go into Texas?
Felipe Bayon: Yes, very good question. So, one of the key things and aspects for the JV with Oxy in the Permian is the transfer of knowledge and transfer of technology. So, we're mentioning earlier that we've already started operation. There is a couple of wells that have reached a TD. We'll be fracking those wells in November. We'll be ramping up the number of wells and activity at the back-end of this year. Next year we envisage running with three or four rigs. In parallel, we're conducting the selection process for all the people that will be working in the JV physically in Texas. So, we have estimated an initial group of 25 people that are from our staff and that will be we're between that to selection recruiting process and we envisage to have those people working in the Permian and in Houston over the next five to six months. So, at the end of 1Q, beginning of 2Q, we want to be very precise in terms of the profiles and the people and the capabilities and the potential of those are workers. And remember, that in due course the JV and our operations in the U.S. will help us deepen our understanding around unconventionals and bring some of that back into Colombia which is strategically long term one of the key things on why we actually did the deal. I mean we'd mentioned it it's also very accretive, it's $1.1 billion to $1.2 billion of EBITDA, north of or 2022 going forward. So, it's very important from that point-of-view. Thanks, Muhammed.
Muhammed Ghulam: Yes. Okay, thank you.
Operator: Thank you. [Operator Instructions] We have no further questions. Mr. Bayon, do you have any final remarks?
Felipe Bayon: Well, thanks. And thanks everyone for being part of the third quarter 2019 conference call. Thanks for the questions. We appreciate your insights. We appreciate the areas of inquiry. We had a very strong quarter and want to acknowledge the teams around the group that helped us deliver this. We delivered on strategy, around doing the M&A portion of that with the Permian and Gato do Mato. We've advanced on the preparation for the unconventional pilot projects in Colombia. We've signaled that we want to close the year with a higher production in the 734 to 740 and deal with the range. We will keep our refineries at the 350, 375 nboed or nbd range in terms of the load. We see our CapEx both organic or inorganic that the range of 4.4 to 5 billion and we think that despite prices being a bit weaker, crude prices being a bit weaker, we are strengthened, we are operationally very sound. We have the possibility of leveraging and taking advantage of the opportunities that present to ourselves and we'll continue to conduct safe operations responsible ethical operations. So, I appreciate your participation, friends. And I hope you have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.